Operator: Welcome to the Callon Petroleum Company's Third Quarter 2021 Earnings and Operating Results Conference Call. All participants will be in a listen-only mode. As a reminder, this call is being webcast and a replay of the call will be archived on the company's website for approximately one year. I would now like to turn the call over to Mark Brewer, Director of Investor Relations for opening remarks. Please go ahead, sir.
Mark Brewer: Thank you, Debbie. Good morning and thank you all for taking the time to join our conference call today. With me this morning are; Joe Gatto, President and Chief Executive Officer; Dr. Jeff Balmer, Senior Vice President and Chief Operating Officer; and Kevin Haggard, Senior Vice President and Chief Financial Officer. During our prepared remarks, we may reference the earnings results presentation and third quarter earnings press release, both of which are available on our website. So I encourage everyone to download both documents if you haven't already. You can find the slides on our Events & Presentations' page and the press release under the News headings both of which are located within the Investors' section of our website at www.callon.com. Before we begin, I'd like to remind everyone to review our cautionary statements, disclaimers and important disclosures included on Slide 2 of the presentation. We'll make some forward-looking statements during today's call that refer to estimates and plans. Actual results could differ materially due to the factors noted on these slides and in our periodic SEC filings. We'll also refer to some non-GAAP financial measures today, which we believe help to facilitate comparisons across periods and with our peers. For any non-GAAP measures we reference, we provide a reconciliation to the nearest corresponding GAAP measure. You may find these reconciliations in the appendix to the earnings presentation slides and in our earnings press release, both of which are available on our website. Following our prepared remarks, we will open the call for Q&A related to both the quarterly results and forward-looking performance. And with that, I would like to turn the call over Joe Gatto.
Joe Gatto: Thanks, Mark. I encourage everyone to take a look at the earnings presentation on our website as background for our introductory remarks. Let me start out by saying that the third quarter was a clear demonstration of us walking the dog. Top line production exceeded recently increased guidance with productivity gains from both new and existing wells in the Permian Basin. This outperformance dropped directly to strong bottom line free cash flow as operating expenses and capital continue to benefit from our focus on best practices and realized efficiencies. Capital spending for the quarter came in at $115 million, below the bottom end of guidance, which was also lowered with the recent guidance update. Operational expenses remained in check, and contributed to the strongest operating margins we have seen in some time that more than $45 per barrel of oil equivalent, a 20% increase from the previous quarter and at the leading-edge of third quarter earnings releases. Our operations team made strides on numerous project fronts, lowering our overall LOE run rate, while also reducing our environmental footprint. Our near-term focus is simple. Employed a scaled co-development model across the diversified portfolio of core investment opportunities to drive rapid deleveraging from leading cash margins. This focus is best exemplified by an expected reduction in our net debt to EBITDA to under 2.5 times by year end. This progress reflects a leverage improvement of two turns since the first quarter, which is amongst the best rates of change in the industry. Importantly, through thoughtful co-development of our resource base, we maintain a life-of-field development view that preserves longer term inventory quality and depth, supporting capital efficiency and free cash flow sustainability over time. We recently completed a strategic consolidation transaction in the Delaware Basin, increasing our footprint to 110,000 net acres in the Basin. The acquisition of the Primexx assets, which we announced along with our second quarter earnings, close at the beginning of October, and we are well on our way with the integration process. We've been very pleased with recent results from the properties as activity resumed at the beginning of the year, targeting two primary zones, new-generation completion designs in refined landing zones. Early time productivity has been evident with average peak oil rates of over 1,200 barrels of oil per day across 19 wells in the Wolfcamp A and B and longer-term performance has also been attracted, with 180-day average cumulative oil production, approximately 120,000 barrels of oil, which represents over 72% of the hydrocarbon mix on a 2-stream basis. While we won't have the chance to incorporate Callon's completion designs into new wells until later this year, we've been able to use our more conservative flowback strategy on a recent 3 3 well project in the area. The combined well package is responding favorably to the modification with all three wells performing ahead of the project type curve to the first 20 days online. In addition, we are currently transitioning development on the acquired assets to the Callon philosophy of scaled co-development. This transition is currently focused on building an inventory of drilled wells to support larger average project sizes, with our initial three projects in 2022 slated to average 6 wells apiece. As we look a little deeper into 2022, the large majority of our development program will focus on both the Delaware and Midland Basins, with the Eagle Ford returning to more of a supporting role. We've talked at length about the optionality that our diversified portfolio offers in terms of cash conversion cycles and returns on capital, while we were unable to fully optimize investment in the Delaware Basin over the last two years as we focused on shorter cash conversion cycle projects. The scale and scope of our Permian position and associated core inventory of over 1,100 locations in the Delaware alone, enable us to establish a durable program that builds on substantial project level returns on capital to support a robust free cash flow profile through mid-cycle commodity pricing. Despite the significant uplift we have seen in the four curve for oil, we intend to maintain our capital reinvestment framework based on more conservative planning prices that reflect a longer-term outlook and focus on continued simplification of the capital structure and deleveraging on both the net debt to EBITDA and absolute debt basis. Since the second quarter of 2020, we have laid out plans and consistently executed on strategic financial initiatives that have dramatically changed our outlook and allowed us to get back on our front foot. As part of that execution, multiple non-core monetization that produce cash proceeds of roughly $210 million in 2021. We expect that these last few transactions announced since early October, including a smaller monetization of select water disposal assets to close by year end, which will put us near the top end of our guidance range of $125 million to $225 million of proceeds for the year. These proceeds combined with our 2021 free cash flow generation expectations have established a tangible path to bring leverage under 2 times by mid 2022 and subsequently drive to our next round of targets of debt to EBITDA below 1.5 times an absolute leverage of under $2 billion. Given this trajectory, in addition to our focus on sustainability and the importance of controlling critical operations in our core areas, we believe that retaining our larger portfolio of water gathering, recycling and disposal assets provides the greatest value of proposition for our shareholders. As such, we are not pursuing additional monetizations related to water assets at this time. Building upon that theme, advancing environmental sustainability has become a critical piece of the conversation. [Technical difficulty]
Operator: Excuse me. At this time, please bear with us for a moment while we fix audio. Thank you. Excuse me. At this moment, we are reconnecting the audio and we'll be right back with you. We are now rejoining the conference.
Joe Gatto: Thank you, Debbie. Apologize for technical difficulties. Hopefully everyone can hear us okay right now. I'm going to finish off my section here quick in the potential of overlapping, but just make sure we try to be seamless, obviously, we'll make sure that the full transcript is posted in its entirety. But, I think I left off just talking about environmental sustainability and how that's been a critical piece of the conversation, both internally and externally. Earlier this year, we laid out specific near-term goals, we shared our plans for how we are addressing environmental, social and governance related topics. After issuing our 2020 Sustainability Report in July, we've seen the performance scores rise across multiple independent rates platforms, reflecting the market's recognition of the progress we've made. Specifically, we've affected meaningful change in our missions, safety and governance practices. With a greater portion of executive compensation directly tied to achieving our sustainability goals. We're advancing interests, not only shareholders, but all stakeholders. With that, I'm going to turn things over to Jeff to discuss operations.
Jeff Balmer: Great, thank you very much and good morning. I'd like to start by recognizing our operations team and really Callon as a whole. Not only do they knock it out of the park across the Board, but they did this while working to integrate the Primexx assets and simultaneously move forward our 2022 planning process, so hats off to all of you. You put Callon in a great position. As Joe mentioned, our performance during the third quarter was very positive with well performance above expectations, capital costs better than expected, and our lifting costs are improving slightly on a unit basis. And I think this bodes well for what we should be able to accomplish as we finished integrating the recently acquired Southern Delaware assets. Our electrification program which started in the Permian, has been a real success story in the Eagle Ford. We recently wrapped up work there, removing another 25 generators from service. And this not only helps our carbon footprint, but with the changes we've made year-to-date actually equates to nearly $1.5 million in annualized savings. Across the Delaware, we've been converting old gas lift systems to ESPs or Electric Submersible Pumps. And with newer well as we're moving directly to ESP after natural flow begins to drop off. Across the Board this has been extremely beneficial and is helping to improve the overall well performance and reduce the upfront cost of artificial lift. Our ESP management program has resulted in an 80% improvement in runtime since 2018, saving us valuable workover dollars. Additionally, we've seen some of these recent conversions to the ESPs such as our limber pines project in the Delaware came with upwards of 1,900 barrels of oil per day in initial uplift. This equates to more than 250 barrels of oil per day per well. It also carries forward an uplift in production curve for multiple months thereafter. We're already identifying opportunities and beginning to implement our Callon best practices across the acquired and acreage which were fantastic to start with. As we've discussed previously, our in-house technical expertise and chemicals management allowed for significant operating cost reductions and improved well performance for our previous asset additions and also continued application of our peer leading ESP management practices should provide another avenue for synergy realization. As we begin modifying the current program in place on the acquired assets, we then expect to defer initial artificial lift installations by optimizing early-time performance from our moderated flowback strategy and the early flowback performance of this new [Nimitz] [ph] three-well pads supports this concept and should be a good example of what's to come. Our continued field efficiency has been an important factor in meeting expectations. Our year-to-date drilling and completion costs have remained generally flat with 2020. And this is primarily due to solid performance by our team and realizing cost savings through the operational efficiencies. As we continue the budgeting process for 2022, we'll build in a reasonable estimate for potential inflation likely something in the high-single to low-double-digit range for capital development activity. But of course, our team will be working hard to deliver efficiencies that allow us to keep that cost pressure at base as well as anyone in the business. We continue to see development activity shift away from one-well and two-well pads and move to much larger projects that provide better opportunities to retain that much needed peak capital efficiencies. These larger projects ensure that we're developing the resource in place appropriately to optimize recoveries by eliminating future child wells and developing that inventory prior to the effects - of depletion affecting the future locations. Our combined Delaware footprint of approximately 110,000 net acres has become the cornerstone of our development program. As Joe mentioned, we expect capital to flow to both the Delaware and Midland Basins more broadly, with the Eagle Ford playing more of a supporting role going forward. And make no mistake, it's a great asset with fantastic cash flow. But our growth focus will be on the Permian and the tremendous resource we've assembled. We're off to a very good start in the fourth quarter with 6 rigs currently in the field, drilling across all the asset areas, and helping to replace some of the DUC backlog that we drilled down through the middle of the year in 2021. As we rebuild this inventory as an operational buffer and to account for timing issues related to our larger scale development, we'll have a very balanced opportunity set to draw upon as we scheduled the completion activity for the first half of the year. At this time, I'm going to turn it over to Kevin to handle the financials.
Kevin Haggard: Thanks, Jeff. The second quarter was a record one in many ways for us. I want to quickly mention some of the more impressive elements of our execution this quarter. We set new quarterly performance records for Callon. We had our highest ever quarterly revenues with more than $500 million of revenue and had record cash flow from operations of $295 million in the quarter. Our adjusted EBITDA for the quarter was $292 million, an almost 50% increase from the second quarter of this year. Helping us and this improvement was our pure leading operating margin. This margin increased 15% from our Q2 performance as we reached approximately $45 per BOE. In addition, LOE was $4.66 per BOE in the quarter, with more impressive total LOE was down over 8% for the second quarter, despite placing the combined 17 gross wells on production during the second and third quarter. Let's talk about what impact these strong margins have had on our balance sheet. With almost $120 million of adjusted free cash flow in the quarter, which went directly to paying down debt, we were able to achieve a 5% reduction in our total debt in a single quarter. I want to thank our very active business development team who managed a significant amount of activity this year and help us deliver at the high end of our 2021 targets for cash from asset sales and dispositions, which were also applied to debt reduction. Also, we are pleased to announce today that the equitization of nearly $200 million of second lien notes from Kimmeridge helps to de-lever the balance sheet and equally as important, eliminates almost $20 million of future interest payments. And we are starting to accelerate the pace at which we can pay down this debt. Since Q2 2020 and through the end of Q3, we have generated cumulative adjusted free cash flow of nearly $275 million have been able to reduce debt by almost $700 million during that period, inclusive of the Kimmeridge second lien equitization. Street estimates per Bloomberg show expectations for another $120 million of free cash flow in the fourth quarter, helping us achieve our leverage targets for 2021 and with estimates Callon for nearly $650 million in 2022, we will be well on our way to achieving our stated target of less than 2 times net debt to EBITDA. I want to make a couple final points on the balance sheet. Even though we drew our credit facility to fund the cash portion of the Primexx purchase price, you will see a total debt picture at year end that should look equal to or better than Q2 and an RBL that gets close to 50% utilization. Just as a reminder, the RBL draw the majority of asset sales settlements and robust cash flow all happen into a quarter in Q4. On the hedging side, we were proactive in adding incremental hedges prior to the announcement the Primexx transaction, and as a result, we find ourselves well positioned for 2022 at this point with the price levels and percentages hedged we are comfortable with. I know there have been questions out there about our timeline to pay cash taxes, given the higher commodity prices and whether this means models need to be adjusted. We look at this on a regular basis with our tax team as part of the work we do in scenario planning. To give you some guideposts and realizing there are a lot of inputs to this planning that can move around. At current strip prices, we would expect to pay minimal cash taxes over the next several years, and not be a significant payer until four to five years from now. If we had $85 flat oil for the next several years that would certainly accelerate our cash tax payments to around the 2024 time horizon. What does all this solid financial performance get us? We believe as we continue to execute against these near-term deleveraging targets, we are quickly moving into a range more representative of companies with a solid B2B plus rating, which we hope to see the agencies recognize formally. This should result in a lower cost of capital and will help us as we think about proactively addressing upcoming bond maturities. And with that, I'm going to turn the things back over to Joe before moving to Q&A.
Joe Gatto: Thanks, Kevin. So over the past year, Callon has experienced an extraordinary turnaround where we stood in the fall of 2020. We were adamant that the quality of our assets, talent of our staff and the determination of the team as the whole believes back to the position we are in today. We now look firmly forward, you can see our financial goals not only within reach, but much closer than most thought possible in such a short time. And with every dollar of debt that we continue to retire, we are paying back our shareholders for their faith and our ability to do so. Operator, you may now open the lines for Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Derrick Whitfield with Stifel. Please go ahead.
Derrick Whitfield: Thanks. And good morning, all and congrats on your quarter and progress in general.
Joe Gatto: Thanks, Derrick.
Derrick Whitfield: Perhaps for Joe or Kevin, your leverage stats have dramatically improved to-date as a result of asset sales the Kimmeridge equitization, the Primexx transaction and commodity strength in general. With the potential to achieve a sub 2 times net debt to EBITDA leverage in 2022. How should we think about your longer-term preference for capital allocation of the free cash flow once you achieve a sub one-time, 1.5 times net debt to EBITDA?
Joe Gatto: Sure, Derrick. Thanks for the question. And it's good to be here thinking about these types of questions you know in the near-term, it's pretty simple, we laid out we're going to give equity holders value through debt repayments. So that's pretty clear for the coming quarters. But with the pace of deleveraging, as you mentioned, at least the credit metrics will improve dramatically. I guess the other part of the equation there is absolute debt as well. So there's probably two targets that we need to be thinking about as we start progressing towards returns of capital. But, you know, we've made some longer-term goals around leveraged metrics, we'll have 1.5 times and below 2 times absolute debt reduction. So that was our firm, and we got to make sure we don't lose sight of that. But we think that over time, we can look at returns of capital to shareholders and complement that continued debt reduction to those long-term goals.
Derrick Whitfield: That makes sense. And as my follow-up regarding the potential divestiture of infrastructure assets that you noted in your prepared remarks, could you speak to potential valuation parameters and operating cost impacts of material?
Joe Gatto: You know our valuation parameter I think that we put out some release with the assets in the Midland some headline production numbers. So, whether you can do that on a headline flowing barrel equivalents or attributes of value to EDP and look at the acreage value, I think they're both very compelling. In terms of LOE impact, I guess, probably related to the water, the small water transaction. The LOE impact there is roughly about $4 million per annum.
Derrick Whitfield: That's great. And Joe, just to clarify for the infrastructure assets that you noted that you would potentially put on the market. That's what I was really referring to. And maybe I misheard you in the prepared remarks.
Joe Gatto: Yeah, maybe with some of the technical difficulties. But, now at this time there, we're very pleased with the - you know the outcome with the - you know smaller monetization of the water package. But and water assets are very critical to our operations. We've been very clear about that over time and maintaining control. And we've been working on JV types of structures to allow us to maintain operational control and then get some economic benefits, whether it would be upfront cash proceeds or - monetizing some late capacity in the system. I think the short answer as we sit here today is, we don't see that that value proposition being compelling to offset you know the operational mandates that we have. So at this time, we are not actively pursuing a broader monetization of the water asset, especially given the profile we have with free cash flow outlook, we feel comfortable that's going to get us where we need to be on the deleveraging side. So, hopefully that answers your question in terms of you know where we go next. But you are right to point out me, I mean there is a substantial value proposition there. We just think it's best for us to retain that for shareholder.
Derrick Whitfield: That makes complete sense. Great update, and thanks for your time.
Joe Gatto: Thank you.
Operator: The next question is from Bertrand Donnes with Truist. Please go ahead.
Bertrand Donnes: Hey, good morning, guys. I just wanted to ask on the activity levels on the Primexx acreage. Where are you going to focus after the first half '22 wells? I see on that map, you kind of have that cluster spaced out, but I wasn't sure if after that you're planning on going back south near some of those first half '21 wells, or if it was you kind of want to look at the results from the wells and then decide afterwards.
Joe Gatto: It's actually a little bit of both. So, the subsurface analysis that - that's been done over the last 30 days has really confirmed what an outstanding asset that the Primexx position encompass. Taking a look at some of the opportunities we have for the robust, top to bottom development opportunities is really the next stage in the back half of 2022. We have a few obligations, very manageable obligations that we're focused on in the front half. So you'll see opportunities where we have a larger stack, potentially kind of in the north - northeast in the Wolfcamp A that will get some attention, as well as some opportunities down south in all likelihood. But obviously, just as you had mentioned, we'll learn a little bit as we go along and then adjust as needed.
Bertrand Donnes: That makes perfect sense. And then really just my follow-up is the rates that you announced from the Primexx, the wells that came on. Is there - are they doing something differently that you would or is it - it looks like it's exceeding the type curves that you were looking for? So, is there something you think you keep applying to improve it further? Or is it maybe something that they did that you can, you know, bring in-house on your other properties?
Joe Gatto: Yeah, and again, you nailed some very complementary things relative to the assets. Anytime that they get an opportunity to combine the assets. It's also the best practices from both slots. Those rates are both related to physically how that the wells are being handled at the service, as well as outstanding geology. And so, generally speaking, what we've tried to apply is a little bit of a managed flowback from the perspective of not ripping the wells wide open and having them drawing a bunch of sand into the wells and potentially have very steep declines, if not immediate workover candidates. And so, I think what we've seen with the Primexx assets is that, while potentially a little bit more aggressive, that will also hung in there. Fantastic. And so, we'll you know take a very thoughtful approach to what those wells do, you know, in year one, back end of year one and two and really apply the combined best practices of both companies to see what fits this particular well set the best. So I would anticipate a little bit of a hybrid between what Callon has done historically and what Primexx has already done.
Bertrand Donnes: That's perfect. Thanks guys.
Joe Gatto: Thank you.
Operator: The next question comes from Gabe Daoud with Cowen. Please go ahead.
Gabe Daoud: Hey, good morning guys. I'm curious, Joe I think in the press release you had mentioned capital moving forward likely be predominantly focused on the Permian and within the Delaware. So just curious if you could give us some updated thoughts on the Eagle Ford and how that maybe fits into the portfolio longer-term?
Joe Gatto: Sure, now the Eagle Ford is certainly a big part of what we do and in our broader portfolio an offering that diversification, not only with location, but around cash conversion cycles, you know, the last couple of years has been really important and has really proved to be a critical asset and generating free cash flow. As we move forward as we look at longer-term sustainability of free cash flow, we have an enormous machine in the Delaware with very high impact wells that we can get into large scale developments, realize those efficiencies, we see that as being the backbone of our, not only our leverage reduction, but potential backbone for returns of capital down the road and really using that as a foundation. So the Eagle Ford is similar to you know after the Carrizo transaction, we talked about the free cash flow machine that it was, that that will certainly be the case going forward, we still have a good inventory there with very efficient team and operations that will continue to bear fruit. You know, we'll also, you know, look at ways to expand our inventory in that part of the world, whether it be some you know smaller bolt-ons around our area or you know, some exploration. You know, we haven't obviously set a lot of detail around '22 yet, that'll be coming. But we always put a few exploration or delineation wells into the mix. And the Austin Chalk is going to be one that is in the mix. You know, once we finalize the plans, we can talk a little bit about that more. But again, this is you know while we're emphasizing the Delaware and broader Permian from a capital standpoint, Eagle Ford is still a very important part of our machine.
Gabe Daoud: Thanks, Joe. That's helpful. And then you know my follow-up was going to be around 2022 and anything you could say, but I guess just kind of stay tuned for the 4Q update.
Joe Gatto: Well said, yes.
Gabe Daoud: Okay, got it. Thanks, Joe. Good quarter.
Joe Gatto: Thanks. Thanks, Gabe.
Operator: [Operator Instructions] At this time, we aren't - there are no further questions. This concludes our question-and-answer session. I would like to turn the conference back over to Joe Gatto for any closing remarks.
Joe Gatto: Thanks, Debbie. Thanks, everyone for joining today and before we sign off, actually have one more special thank you for our Director of IR, Mark Brewer. Mark is going to be leaving us at the end of the year after leading the charge with investors and research analysts since 2017. I know most of you have spent a lot of quality time with Mark over the years and I've no doubt you enjoy working with him as much as we all have here at Callon. So, Mark, wish you all the best and for everyone on the phone, we look forward to a strong finish to the year and look forward to our next call and early 2022. Thank you.
Operator: This concludes our conference. Thank you for attending today's presentation. You may now disconnect.